Operator: Good day, ladies and gentlemen, and welcome to the Ubiquiti Networks Fiscal Q1 2017 Question-and-Answer Conference Call. As a reminder, the conference is being recorded. Thank you. Now, I would like to turn the call over to Anne Fazioli.
Anne Fazioli - Ubiquiti Networks, Inc.: Thank you, Alex, and thank you, everyone, for joining us today. I'm Anne Fazioli, Vice President of Investor Relations for Ubiquiti Networks. I'm here with Robert J. Pera, Founder, CEO and Chairman of the Board at Ubiquiti Networks. Before we get started I'd like to review the Safe Harbor statement. Some of the statements we'll make during this call constitute forward-looking statements, including perspectives on our future financial results, products, market conditions and competition. These statements are subject to known and unknown risks, and uncertainties that could cause actual results to differ materially from those expressed during our call. Information on risk factors and uncertainties is contained in our most recent filing on Form 10-K with the SEC and our other SEC filings, which are available at the SEC's website at www.sec.gov. Forward-looking statements are made as of today, November 3, 2016 and we assume no obligation to update them. We hope you've had time to review management's prepared remarks, which are posted as a transcript on the Events and Presentations and Financial Information sections of our Investor Relations website at www.ir.ubnt.com. This will be a Q&A call only. Please limit yourself to two questions. And time permitting, we'll allow for follow-up questions. Alex, we are now ready for questions.
Operator: Your first question comes from the line of Meta Marshall from Morgan Stanley. Your line is open.
Meta A. Marshall - Morgan Stanley & Co. LLC: Great, thanks. First question is just really, in the past you've talked about the service provider market being somewhat saturated and executions for it to be flat. And in the last couple of quarters, it's obviously done particularly well. So, I just want to get a sense of how much of that is pent up demand versus how much of that is now that kind of some of the compatability issues are fixed versus how much is that market expanding? And the second question is just early impressions with the AmpliFi product being out and how you feel that product's being received. Thanks.
Robert J. Pera - Ubiquiti Networks, Inc.: So the WISP market has always been an interesting one for us. It's under the radar. It's in these emerging areas like South America and Eastern Europe and Middle East. I remember we were doing maybe $50 million of revenue in service provider and we thought it was saturated, and then it went to $100 million, we thought it was saturated; $200 million, we thought it was saturated. Now, it's what – well over $400 million run rate. So, it continues to surprise us. So, yes, last quarter, I thought maybe we were reaching saturation points, but then in the last several months, a lot of I'd say nice things are happening that give us confidence that we can grow that market quickly again. So first of all, it's been talked about a lot, where we struggled with backward compatibility for airMAX ac. So airMAX ac has a lot of benefits over the original airMAX, both in scalability and speed, but we've been struggling for one or two years. Version 8 of airOS was going to bring backwards compatibility with airMAX networks. The idea was you replace your base station or upgrade it with a airMAX ac base station and then instantly improve these guys' networks, and over time they would replace their CPEs in the field. And if you figure we have tens of millions of airMAX CPEs in deployment, we'd benefit not only from growing with higher capacity equipment, but a lot of replacement revenue. So, what's happened is we finally introduced a release candidate this week for version 8, which has been a year in the making. It looks very promising. So, that's one trend. One – I'm really sorry to do this, one second. Yes, really sorry about that. Okay, so airMAX ac backward compatibility, we are looking to have turned the corner. The second thing we have going is Ubiquiti mobile, which is a mobile app for the service provider market. And if you look from our UniFi mobile app, we have over 0.5 million downloads, about 100,000 monthly active users in less than a year. So, once we get a mobile experience for the service provider market, I think that's a big catalyst to growth. Now the third thing we have, which we're really excited about is we've been working on GPON networking for quite a while and the response has been overwhelming. So, we're going to add a GPON technology platform, fiber technology platform to our service provider market. So, that's a huge boost. Now, finally, which we revealed in our show, the WISPA show a month back, which people haven't known about is we have an ASIC team inside Ubiquiti and we've invested probably – a significant amount of money; I don't want to say the exact amount. But, we've built an ASIC from the ground up, which we are calling LTU. It has been well over three years in the making. And we are going to launch it next year and it's going to be essentially airFiber multipoint, so it's going to be light years ahead of anything in the market. And at cost points relevant to airMAX, we're going to price that higher, the margins are going to be a lot better for us, but we think that's going to be a really big difference here in the market. So there is a lot of catalyst for the service provider market that I think should show acceleration, growth re-acceleration in the next couple of years.
Meta A. Marshall - Morgan Stanley & Co. LLC: You have got in just the AmpliFi kind of early impressions in the market or reception?
Robert J. Pera - Ubiquiti Networks, Inc.: Okay, so AmpliFi. So the AmpliFi was a totally new venture for us. We have a unique business model, where we focus on R&D and we target maybe markets people don't see and we grow these markets from the ground up. AmpliFi was a big change for us, because we're entering a consumer market, where there is established players. But if you look at Ubiquiti's history, the markets we have entered, we usually dominated. So our thinking with consumer market is like, well we want to compete in bigger markets. We believe our model and our ability on the R&D side to innovate is greater than a lot of companies in the consumer market and we want to compete in those markets. Now, AmpliFi from the ground up, we delivered with – or I would say we developed with a very lean team. They've done a phenomenal job. The result was great. On the PR side and the marketing side, I think we executed really well. We did – we kind of pushed and got into reviews, and I think we did pretty well for our first attempt in the consumer market. Now, what we didn't do well, which I'm really, really, really frustrated about, is we didn't execute on the production side. So, we had demand for tens of thousands of units out of the gate and we've just been slow to get these out. And it's really an accountability problem. Everything from vendor, quality control, mechanical, design for manufacturing, production, quality assurance, it just the cultural accountability issue and that's what I'm focused on right now. If we can clean up our production execution, so we can get product from development to shelves efficiently, it's going to put us in position to grow a consumer strategy; as well it's going to greatly enhance I think our competitive advantage in the service provider and the enterprise market. So right now, I have mixed feelings. On one side, I'm really upset and frustrated at certain members of our team, and I think they let a lot of the company down, and I'm addressing that right now. On the other hand, if you look at our execution, our success over the past few quarters and you say, well, this company is not even clicking yet, and it's growing. That is a very positive picture, because it says that, okay, if we can clean up our areas of exposure, we should see – if people are impressed by this growth the past few quarters, it should be nothing compared to what we should be able to do in the next couple of years, if we clean up and plug our areas of exposure.
Meta A. Marshall - Morgan Stanley & Co. LLC: All right, thank you.
Operator: Your next question comes from the line of Matt Robison from Wunderlich. Your line is open.
Matt Robison - Wunderlich Securities, Inc.: Did you say Matt Robison? Okay. Can you hear me?
Robert J. Pera - Ubiquiti Networks, Inc.: Yes, hello.
Matt Robison - Wunderlich Securities, Inc.: Yes, hey. Sorry. It's Matt Robison from Wunderlich. Robert, phenomenal results, congratulations on that, even though I guess you are not completely satisfied, that's remarkable just the same. You talked about inventory and you talked about lead times and looks like you're looking to stock more yourselves rather than the distributors. Your inventory went up a fair amount, more than the guidance is above what you've delivered for the September quarter. Should we look at that as picking up the slack for the distributors or is there a product initiative that you're stocking for that's incremental?
Robert J. Pera - Ubiquiti Networks, Inc.: Yes. I wouldn't look at that as all like finished goods inventory we're sitting on and waiting for the sales channel to sell through. It's more like, you look at our product lifecycle, we're not a Netgear or Linksys or some company that has to introduce and end-of-life a product all within 24 months. Most of our products, because we sell in (11:29) these enterprise and service provider markets, you look at our original NanoStation introduced in 2008, people are still using it. It's been eight years. You look at our airFiber24, we introduced in early 2012, it is getting to the end of 2016 and that's just picking up steam. It's just finally starting to show some growth. So, there's no reason for us not to buy components in full quantities and get as good a cost as possible and get margin leverage. There is no point in having hundreds and millions of dollars in the bank and if you are not going to use it to improve your business, right?
Matt Robison - Wunderlich Securities, Inc.: Great. Okay. The other question I had on LTU – one of the things that I hear when I talk to some of the ISPs especially in the domestic market is, there has been a value proposition where they've been able to offer cable-like speeds for much better economics. So with DOCSIS 3 and DOCSIS 3.1 coming out, it's a little tougher to keep up and clearly a lot of WISPs, their business model is to – is open-field running where there is maybe no cable or alternatives. But when we look at LTU, do you kind of feel the racer game, so you can keep up with some of the other threshold technologies?
Robert J. Pera - Ubiquiti Networks, Inc.: Yes. So how I look at it and I know it goes against the conventional understanding or thought process of analyst communities, you look at our WISP market, you're talking about tens of thousands of independent operators, 40 million, 50 million deployed radios, all in probably just about every country in the world. There are just so many guys to track and they're all in these remote regions and with different situations. And I think it's really hard to apply like macro understanding to this market and say, okay, well, LTU is going to take it over. I think as long as we keep improving our technology, making it more usable, making the capacity better, making it so it's plug-and-play and smarter, works better in interference mitigation, as long as we can do those things, I think our fixed wireless platform is going to be around for a long time and continue to grow. Now, there is some interesting things going on in fiber networking with the same smaller carriers. I always had the misconception that fiber is not going to be popular with our operators because they have to spend a lot of money to deploy the infrastructure, to dig up land and deploy the cables, and then what I found out, in a lot of these emerging markets, they are free to lay out the fiber cable along the power lines and it's really cheap to do. And I think we were a little late to the fiber market, if you look at FiberHome, they're a multi-billion dollar company, and we should have taken a big piece of that two or three years ago. So we're playing catch up, right now. But, I think if you combine fiber with airMAX ac finally coming to fruition, and a whole new airMAX ac product line hitting over the next couple of quarters combined with LTU, we hope to have out next year. I think the service provider market overall is going to see some growth.
Matt Robison - Wunderlich Securities, Inc.: Very good. Appreciate it. Thank you.
Operator: Your next question comes from the line of Jess Lubert from Wells Fargo. Your line is open.
Michael A. Kerlan - Wells Fargo Securities LLC: Hi, guys, this is Mike Kerlan on for Jess. Nice results as well. Looks like the strength was fairly broad-based on a geographic basis. But that said, zeroing in on Europe, sales in the region have been accelerating on a year-over-year basis the last few quarters, were particularly strong this quarter. So I guess I'm just curious, what is driving the strength there, is it more distribution, is it better macro environment, something else?
Robert J. Pera - Ubiquiti Networks, Inc.: So, I do these calls for long-term shareholders that believe in the story and where we're heading and what we have in our R&D pipeline, I could speak really well on those things. To be honest with you, I don't spend my time looking at quarter-to-quarter variations in specific geographies. If you want those answers, it's best to call up the 10-Q which we will be filing soon or offline with our financial team after the call.
Michael A. Kerlan - Wells Fargo Securities LLC: Okay. Maybe just a product one for you, as far as the Enterprise UniFi business goes, can you just talk about the mix of how much of the business is Wi-Fi vs. switches or something else within the portfolio? And within the Wi-Fi business, how is the transition going to the newer AC products and how do you see the transition to the mesh products fitting into the strategy?
Robert J. Pera - Ubiquiti Networks, Inc.: Okay. I like these questions, okay. So UniFi I think is our biggest growth driver over the next, let's say, year to two years. So let's look at why UniFi has grown almost 100% year-over-year. So I think it has been a couple of things right now. First, we've dramatically improved the user experience. The original UniFi was a clunky server installation, pretty clunky controller and UI. And over the past year and a half with the introduction of Cloud Key, with the introduction of UniFi firewall (18:06) controller, we've totally revamped the user experience. It is super cool, it is zippy, it is loaded with features. And combine that with, we had UniFi AC, a relatively decent execution on UniFi AC at price performance disruptive access points. And those two things combined, the user experience of the new controller, firewall (18:34) controller, with decent execution on the AC wireless access points kind of exploded this growth. The user experience, also what it led to is, security gateways and switches also picking up because people saw this great UI that was loaded with features and was really slick and they thought, okay, well, I'm using UniFi WiFi and I love the experience. Now they have switches and gateways available, I'm going to buy those too. And so, maybe in the past, when we first introduced the switches and security gateways, they didn't get any traction because we had fundamental issues with the user experience of the controller. Now that those are solved, you are seeing switches and security gateways pickup. I don't know what percentage of the business they are, but I think in their own right those are tens of millions of dollars per year roughly, right now, and it's going to keep increasing. Now, what is exciting about UniFi, ASPs (19:43) are really low. So if you look at Cisco Meraki, if you look at Aruba, if you look at maybe even Ruckus, most of their ASPs are probably going to fall in between $500 and $1,000 for an AP, plus you have service revenue, licensing support and all those things. The strategy we've gone with UniFi is, we want to just drive volume. So we've been really aggressive with price points. We have new PoE switches at $99. We have new Mesh APs at $99. We have AC APs at $80, pretty much, much lower cost than even consumer gear, but you're getting this whole software defined networking experience with tons of enterprise features. And we've just – our mission has been to drive volume, increase the brand awareness, and I think it's working. Now, the weakness is our – in UniFi is I would say the quality of supporting high density maybe networks, our QA, like I said with AmpliFi, our ability to get products from completed development into the sales channel, hose things we have to improve and we're improving on right now. And my hope is, next year, the story for UniFi will be a couple of things. First, it will be expansion of ASPs. We're about to release similar products that are going to be much higher ASPs, still less expensive than Cisco and Aruba, but compared to UniFi ASPs are going to be very high. And I think there is a big part of our market that will love those products. Now, along with that, we're going to offer increased support, hosted controllers and that's going to contribute the service revenue. So, I think if we can execute on these increased ASP products and our service revenue strategy, I think UniFi goes from being a nice business to a phenomenal business. So, that's the strategy we have for our UniFi over the next one or two years.
Michael A. Kerlan - Wells Fargo Securities LLC: Okay, thanks.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.